Operator: Good afternoon, everyone, and welcome to AXT's Fourth Quarter 2024 Financial Conference Call. Leading the call today is Dr. Morris Young, Chief Executive Officer, and Gary Fischer, Chief Financial Officer. In addition, Tim Bettles, Vice President of Business Development, will be participating in the Q&A portion of the call. My name is Prilla, and I will be your conference operator today. [Operator Instructions] I would now like to turn the conference over to Leslie Green, Investor Relations for AXT. You may begin.
Leslie Green: Thank you, Prilla, and good afternoon, everyone. Before we begin, I would like to remind you that during the course of this conference call, including comments made in response to your questions, we will provide projections or make other forward-looking statements regarding, among other things, the future financial performance of the company, market conditions and trends, emerging applications using chips or devices fabricated on our substrates, our product mix, global economic and political conditions, including trade tariffs and import and export restrictions, our ability to increase orders in succeeding quarters, to control costs and expenses, to improve manufacturing yields and efficiencies, or to utilize our manufacturing capacity. We wish to caution you that such statements deal with future events, are based on management's current expectations, and are subject to risks and uncertainties that could cause actual events or results to differ materially. In addition to the matters just listed, these uncertainties and risks include, but are not limited to, the financial performance of our partially owned supply chain companies, increased environmental regulations in China, and COVID-19 and other outbreaks of contagious disease. In addition to the factors just mentioned or that may be discussed in this call, we refer you to the company's periodic reports filed with the Securities and Exchange Commission. These are available online by link from our website and contain additional information on risk factors that could cause actual results to differ materially from our current expectations. This call will be available on our website at axt.com through February 20, 2026. Also, I want to note that shortly following the close of the market today, we issued a press release reporting financial results for the fourth quarter and fiscal 2024. This information is available on the Investor Relations portion of our website at axt.com. I would now like to turn the call over to Gary Fischer for a review of our fourth quarter 2024 results. Gary?
Gary Fischer: Thank you, Leslie, and good afternoon to everyone. Revenue for the fourth quarter of 2024 was $25.1 million compared with $23.6 million in the third quarter of 2024 and $20.4 million in the fourth quarter of 2023. To break down our Q4 '24 revenue for you by product category, indium phosphide was $9.1 million, reflecting continued demand from data center applications including AI as well as passive optical networks. Gallium arsenide was $5.4 million, germanium substrates were $1.6 million, and finally, revenue from our consolidated raw material joint venture companies in Q4 was $9.0 million based on continued healthy demand. In the fourth quarter of 2024, revenue from Asia Pacific was 79%, Europe was 11%, and North America was 10%. The top 5 customers generated approximately 36% of total revenue and one customer was over the 10% level. Non-GAAP gross margin in the fourth quarter was 17.9% compared with 24.3% in Q3 of 2024 and 23.2% in Q4 of 2023. For those who prefer to track results on a GAAP basis, gross margin in the fourth quarter was 17.6% compared with 24.0% in Q3 and 22.6% in Q4 of 2023. The decline in gross margin is primarily the result of lower benefits from our recycling program in the quarter as well as lower ingot starts and crystal growth which resulted in under-absorption of our manufacturing overhead, but which also enabled us to reduce the inventory. Moving to operating expenses, total non-GAAP operating expense in Q4 was $9.9 million compared with $9.0 million in Q3 of 2024 and $7.5 million in Q4 of 2023. On a GAAP basis, total operating expense in Q4 was $10.6 million compared with $9.1 million in Q3 and $8.2 million in Q4 of 2023. The increase in OpEx in Q4 was primarily the result of an increase in legal expenses as well as an increase in R&D expenses related to investment in low EPD gallium arsenide crystal growth for the wireless market. We also continue to invest in the development of our 6-inch indium phosphide for a variety of applications. Our non-GAAP operating loss for the fourth quarter of 2024 was $5.4 million compared with a non-GAAP operating loss in Q3 of 2024 of $2.6 million and a non-GAAP operating loss of $2.7 million in Q4 2023. For reference, our GAAP operating line for the fourth quarter of 2024 was a loss of $6.2 million compared with an operating loss of $3.4 million in Q3 and an operating loss of $3.6 million in Q4 2023. Nonoperating other income and expense and other items below the operating line for the fourth quarter of 2024 was a net gain of $1.1 million. The details can be seen in the P&L included in our press release today. For Q4 2024, we had a non-GAAP net loss of $4.3 million or $0.10 per share compared with a non-GAAP net loss of $2.1 million or $0.05 per share in the third quarter of 2024. Non-GAAP net loss in Q4 of 2023 was $2.8 million or $0.07 per share. On a GAAP basis, net loss in Q4 was $5.1 million or $0.12 per share. By comparison, net loss was $2.9 million or $0.07 per share in the third quarter of 2024 and the GAAP net loss in Q4 of 2023 was $3.6 million or $0.09 per share. The weighted average basic shares outstanding in Q4 was $43.4 million. Cash, cash equivalents and investments decreased by $5.0 million to $33.8 million as of December 31. By comparison, at September 30, it was $38.8 million. The decrease is mostly balance sheet related as over $3 million of the total loss was made up from noncash depreciation and stock comp. The biggest balance sheet item was that we reduced our loan balance by $6.8 million. Depreciation and amortization in the fourth quarter was $2.2 million. Total stock comp was $0.8 million. Net inventory was down a bit over $1 million in the fourth quarter to $85.1 million, down from the peak by $6.6 million, and we are working to bring it down further. Finished goods make up less than $3 million, and that is a positive. This concludes our discussion of the quarterly financials. For the fiscal year 2024 in total, revenue was $99.4 million, up from $75.8 million in fiscal year 2023 and reflecting growth in every revenue category across our portfolio. This is a 31% increase in revenue and underscores the improvement we are seeing in our business with major market trends driving the adoption of new technologies, a recovery in the global demand environment, and our own success in winning share at strategic customers. Gross margin for the fiscal year 2024 on a non-GAAP basis was 24.3%, up from 18.1% for fiscal 2023. GAAP gross margin for 2024 was 24% of revenue, up from 17.6% for fiscal year 2023. Net loss for the fiscal year 2024 on a non-GAAP basis improved to $8.5 million or $0.20 per diluted share compared to the net loss of $14.3 million or $0.34 per share for fiscal year 2023. GAAP net loss for the fiscal year 2024 was $11.6 million or $0.27 per diluted share, up from a net loss of $17.9 million or $0.42 per share for fiscal year 2023. Turning to our plan to list our subsidiary Tongmei in China on the STAR Market in Shanghai, we have continued to keep our IPO application current. Tongmei remains in process as part of a much more selective and smaller group of prospective listings than a few years ago. We continue to think that Tongmei is a good IPO candidate, and we will keep you informed of any updates. With that, I'll now turn the call over to Dr. Morris Young for a review of our business and markets. Morris?
Morris Young: Thank you, Gary. While Q4 gross margin and net loss fell short of our expectation, our improvement in 2024 over the previous year was significant. We delivered a 31% increase in fiscal year revenue, a 6% improvement in non-GAAP gross margin, and 40% improvement in non-GAAP net loss. Over the last 12 months, we have aggressively advanced the technical specifications of our material to help our global customer base solve complex next-generation connectivity challenges. More and more, the materials we supply are being used in highly sophisticated applications such as high-speed interconnects, where our breakthroughs in delivering extremely low EPDs are showing tremendous value to device performance. 2024 marked a very meaningful year of revenue growth into the cloud and data center infrastructure market as well as our successful penetration of wireless handset market, particularly in China. We have also expanded our portfolio of our raw material companies, creating a unique valuable supply chain and laying the groundwork for incremental revenue opportunities in new markets such as pBN. And finally, we brought to market both 8-inch gallium arsenide and 6-inch indium phosphide substrates, driving new innovation into our development capabilities that we can translate into better performance and higher yield across our product families. As we look ahead of 2025, while there are some new challenges, we see a number of exciting opportunities created by both industry trends and company-specific opportunities. Now first to challenges. As many of you may know, on February 4, China government imposed trade restrictions on the export of indium phosphide material. Similar to the 2023 restriction on gallium arsenide substrates, these regulations explicitly seek to restrict the export of material used for military applications. Therefore, we are now undertaking an export permit process for indium phosphide similar to what we have been working through with gallium arsenide over the last two years. The good news is that it is an organized and efficient process that we're very familiar with, and we believe that we have similar success, we will have similar success. We are already working with our customers outside of China to prepare applications on their behalf and expect to be able to submit our first application in early March. In our experience, we typically hear back initial applications within 40 to 45 business days and repeat applications are often processed faster. As such, we expect to see a delay in a portion of our indium phosphide revenue in Q1 as we begin this process. For reference, in 2024, about 40% of our indium phosphide revenue came from China and was about 60% coming from the rest of the world. In Q1, we expect the impact of our revenue line of approximately $4 million to $5 million in delayed sales. This said, we don't believe that any of our indium phosphide sales go to military applications, so we feel we are in a good position to realize sales once we can navigate the permit process. Now, challenges aside, let's turn to the key business opportunities and growth drivers for 2025. In cloud and datacenter connectivity, customers are pushing the boundary of high-speed optical interconnects to support the growth of AI adoptions. Recent algorithmic improvements have shown the potential to deliver AI applications with better returns on investment for AI infrastructure providers worldwide. These innovations can enable increased adoption and broader use case for AI globally. Within this use case, we have several new and emerging opportunities. First, the industry is beginning its transition from VCSEL lasers to speed of 50-gig per lane to 100-gig per lane and higher. Not only are these high-speed VCSELs opening up new opportunity for us with gallium arsenide, they have also created a greenfield market opportunity for high-speed indium phosphide-based photodetectors in 400 and 800-gig multimode optical interconnects. We saw indium phosphide orders relating to this application throughout 2024, which we believe will continue to grow in 2025. Our R&D investment have allowed us to deliver significant innovation on extremely low EPD ion diode indium phosphide substrates for next-generation EML lasers for 800-gig and 1.6T pluggable transceivers. EPD refers to the defect density of a material and is a critical specification in device reliability. I'm extremely proud of our team for their breakthrough achievement. I believe AXT leads the industry in low EPD ion diode material. We're currently in the qualification path of a major supplier for deployment in 2026. Initial feedback from our customers suggest that our low-EPD characteristics is translating to highly valuable performance and reliability advantages over competing material. We continue to work with a number of customers worldwide and are also seeing exciting opportunities with next-generation silicon photonics devices for 800-gig and 1.6T pluggable transceivers for medium to long-distance transmission. For example, we saw growth in demand with increased orders in Q3 and Q4 from one of our largest U.S. silicon photonics customers. We also believe that China datacenters are preparing for broader adoption of optical technology, which we view as an emerging opportunity. It is worthwhile to note that we are actively working with customers on their road map for co-packaged optics and view this as a major opportunity. One of the hardest challenges for this emerging technology to overcome will be the reliability at scale which is where low EPD wafers make a critical difference. We believe that our ability to provide extremely low EPD substrates will help customers solve this challenge when the industry moves towards widespread adoption in the years to come. In addition to datacenter and AI applications, we see a second exciting opportunity in 2025 for our gallium arsenide substrates in HPT devices for the wireless market. Just two years ago, our market share was virtually zero. Today, with cost and performance breakthroughs as well as strong relationship building with one of our largest Asian-based epi providers, we now have about 10% of the overall market with particular strength in China. Expanding and accelerating our growth in this market is a key focus for us in 2025. With availability of our 8-inch gallium arsenide substrates as well as the process improvement we can apply to our 6-inch line, we feel we're confident we can be extremely competitive in this market and continue to grow our market share. As the third growth driver for 2025, we see opportunities in the continued recovery of global demand environment on applications such as passive optical networks, high-power industrial lasers, particularly in China as well as LEDs for a wide variety of use case, including lighting, display, horticulture and automotive. We do see the demand environment improving incrementally and inventory relatively low. And finally, we have not talked as much in recent quarters about our raw material joint ventures. I do want to note that we have continued to invest in expanding our capability and build an enviable portfolio, which today includes gallium, arsenic, pBN crucibles, quartz, indium, rare phosphorus and germanium. The strategic value of this material is not only that we can more cost effectively supply all our critical materials needed to manufacture a product, but also, we benefit from additional revenue streams generated by our joint ventures through the sales of this product on the open market. In 2024, our consolidated joint venture generated almost $32 million in revenue, up 12% from the prior year. We're working to expand this opportunity in 2025 through the development of new markets and to continue the valuable recycling effort that also contributes to our gross margin performance. In summary, 2024 was a year of recovery and growth for our business. One of the things that I'm most proud of is the relentless innovation spirit of our team this year in taking on highly complex material science challenges for our customers and delivering results that the industry would have considered impossible just a few short time ago. These advances will enable an entirely new generation of devices capable of bringing such wonders as AI to the world. What we have built and continue to build for our customers and shareholders is an incredibly valuable company that can serve most cutting-edge requirements through our leading technology, unique supply chain and world-class manufacturing. I want to say a special thanks to our team and their families for a productive 2024. And to our customers and shareholders, I want to thank you for your partnership. We have work to do on your behalf, and we are deeply committed to deliver further improvement in 2025. With that, I will turn the call back to Gary for our first quarter guidance. Gary?
Gary Fischer: Thank you, Morris. In keeping with our comments today, we expect Q1 revenue to be in the range of $18.0 million and $20.0 million. This takes into consideration growth in gallium arsenide substrates, but that's offset by the impact from the indium phosphide trade restrictions and a modest decrease in raw material revenues. We therefore expect our non-GAAP net loss will be in the range of $0.13 to $0.15 and GAAP net loss will be in the range of $0.15 to $0.17. Share count will be approximately 43.5 million shares. This concludes our prepared comments. We can now answer any of your questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Richard Shannon with Craig-Hallum. Please go ahead.
Richard Shannon: Okay guys, thanks for taking my questions. Maybe kind of a two-part question looking back into the fourth quarter here and understanding the dynamics and how long they may continue here. Obviously, a little disappointed on the gross margins and OpEx here. With gross margins I think you said some lesser benefits from recycling along with lower ingot starts here that limited absorption here, and it sounds like you are trying to trim inventory lower. To what degree are we going to see this below kind of recent trends here? When should it come up here? And then also on the OpEx here, I think that you said you were spending a little bit more R&D for indium phosphide for wireless. Maybe you can indicate how long investments will continue there as well.
Morris Young: Well, it's a fairly complex question. Gary, do you want to take a first crack at it?
Gary Fischer: Yes. What was the first question in short?
Richard Shannon: Gross margins, a little bit lower here, a couple of dynamics here, wondering how -- to what degree they're going to continue past the fourth quarter.
Gary Fischer: Well, we do expect gross margins to be low again in Q1 because we're not going to have as much indium phosphide sales because of the export restrictions. Following Q1, then we think they'll get back into the -- at least the mid-20s, which is what we were targeting and running towards. And then I think that we can inch them up quarter-by-quarter.
Morris Young: Yes. I think to answer the question about the R&D activities, yes, we have taken quite a bit of effort in both 6-inch indium phosphide development, and also, we're leveraging our 8-inch Crystacomm knowledge we learned on 8-inch and applying that technology to our 6-inch line, which takes us quite a bit of development effort. But I think it's on the tail end of that effort. We should start to enjoy the benefit of better yield and better performance on the 6-inch line with the knowledge we have on 8-inch.
Richard Shannon: Okay. Let's follow up on indium phosphide here. It sounds like you're getting some really good activity related to datacenters here. Maybe if you can just kind of dig in a little deeper and help us understand where you're seeing a little bit relatively more of the opportunity, whether it's coming from lasers or from PDs or photodetectors. I think if I caught -- if my notes are right here, you talked about a fairly large opportunity that could come to pass from a revenue perspective in '26. Maybe you can provide a little bit more information on that as well, Morris. Thank you.
Morris Young: Tim, do you want to take that on that question? Because I think -- I mean although I can answer that, but Tim is probably the frontline knowing about this opportunity we should have in 2026 on low ion diode EPD stuff for the EML. Right, Tim?
Tim Bettles: Yes. Yes, right. What we've seen in '24 is we've seen growth both on the photodetector side and the laser side of it. On the photodetector side, we've got this greenfield opportunity, which we've talked about in the past, where the high-speed VCSELs running at 100-gig per lane now need to move over to an in-gas indium phosphide-based photodetector. Obviously, the world is seeing a lot of growth in the gallium arsenide VCSEL-based transceivers for us, and we're enjoying that, too. But this greenfield opportunity has opened up for the indium phosphide side of it. We're also seeing a really healthy increase in the datacenter laser side of it. And as you probably know, we're focused more on the silicon photonics side and the EML side than we are on the more traditional DML-based applications. We're not participating that heavily in the DML side of it. And you'll see more growth coming through 2025 as the industry moves to the EML and the silicon photonics market. One of the interesting things as well that Morris mentioned was this new application on low EPD ion diodes. We're definitely seeing I think some new opportunities coming up there with a number of different customers. It's something to keep an eye on for next-generation EMLs. I think we'll see some growth through there in '25 and into '26. So yes, I think we're going to see some healthy growth rate on, again, both lasers and detectors in 2025.
Morris Young: Let me chime in here a little bit perhaps. EML, it means you have a laser-based device and you use indium phosphide modulator on the chip to regulate on and off performance of this module. And I think most of the lasers require low EPD. One of the traditional methods of making laser is using sulfatope to strengthen the lattice to reduce the defect density to as low as less than 100 per centimeter square. Because lasers are very sensitive to defect density, EPDs. However, if you want to use ion diode material, the ion diode doesn't have the benefit of lattice hardening, so the EPD of this ion diode material traditionally is in the thousands of EPD. While you want to combine -- and the reason why you want to use ion diode I think, has something to do with the transient time being shorter, so you can modulate this device faster, so you have a faster response. However, you also need a lower EPD to make this device more reliable. You are caught in between wanting the device to perform better with the EML and also want a lower EPD to improve the reliability. And we believe that we have the ability to make the EPD lower than our competition. And our customers are finding out these prove out to be more desirable for the EML development.
Richard Shannon: Okay. thanks for all that detail, Morris. I'm going to ask one more question and jump out of line here. And that's related to China and the tariffs and export controls. You had some prepared remarks that were very helpful here. It sounds like you expect the experience of the permitting or licensing process to be similar to what you saw in gallium arsenide. And while you're obviously seeing a bit of a dip here while the length of that process kind of unfolds here, but I guess I just want to make sure that you're not expecting any issues. And maybe looking back to your experience in gallium arsenide, did you have any that you would expect to be better or worse than when we get to indium phosphide?
Morris Young: Yes. Tim, again, you're the honcho on developing exports, so can you answer that question, Tim, for me?
Tim Bettles: Yes, I can. We certainly understand the geopolitical complexities in this. And what the indium phosphide controls, and I'll call them controls rather than restrictions. What they seek to prevent is the exports of materials, indium phosphide materials for military applications. When they -- when China placed controls on the export of gallium arsenide, the same thing, it was military applications. In indium phosphide, we don't see any of our customers really, certainly the volume customers, that use indium phosphide for military applications. It is well-known Tier 1 customers using them predominantly for data communication. We anticipate that given the true restrictions on military background, we think that we shouldn't have too many issues getting permits for nonmilitary-related customers in nonmilitary applications. We feel good that we can be successful in getting the permits that we need on this application.
Richard Shannon: Okay, I appreciate all that detail, guys. I will jump in the line. Thank you.
Tim Bettles: Thanks Richard.
Operator: And your next question comes from the line of Charles Shi with Needham. Please go ahead.
Charles Shi: Hi. Good afternoon. The question is this. It looks like you're going to see, I think if I heard you right, $4 million to $5 million impact from the new licensing requirement in Q1. Given that you do, you seem to expect 45 days-ish to get the licenses, are those lost sales in Q1? You think you can make it up in Q2? But at the same time, the originally scheduled shipment in Q2, could that be further pushed out into Q3? I think the essence of this question is, do you think you can get back to let's say $25 million revenue per quarter in Q2 or even run a little bit above that? Because I would think you do need to get back, get the shipment originally scheduled in Q1, out as soon as you can. Any color on Q2 would be helpful. Thank you.
Morris Young: Sure. Yes, Charles, my answer to that is, I think these, if we can get the permit, I think delivering our product is no problem. I think if I were the customer with a restriction on, customer probably wants to build some buffer, so they could increase the Q2 delivery, given that could be temporary. And I think if we have it perfectly developed and none of our customers let's say got barred from getting a license, I would say Q2 and Q3 could be strong quarters.
Charles Shi: Maybe another question. I think that the opportunity in wireless, you talked about a couple of years ago it's a zero market share, but now you are seeing that could be a very strong potential growth opportunity this year. Might if you talk a little bit more about what's the sizing of that opportunity and what's the shape of that ramp into that opportunity? Is it you expect it more in the second half this year, a little bit more next year? Or give us any quantitative insights. I would really appreciate that. Thank you.
Morris Young: Sure, Charles. I think the HBT market is very well known. I think it's roughly $80 million to $100 million a year. And as we said before, two years ago, we virtually had zero and now we have about 10%. So our target is to grow another 30% this year. And I think if we -- I think the main leverage, I think the message is that we have learned quite a bit of process improvement from our 8-inch experience, leveraging that down to the 6-inch line. And hopefully, our knowledge there will be able to reduce our cost, improve our yield, and with say better connection and working relationship with our customers, we should be able to improve our market share. And I think the other opportunity, of course, is the longer term is -- well, I'm hoping that with the AI implication that hopefully that AI smartphones is going to have an increased market turnover in the next year or two. If we can catch that, then we can have HBT market grow even faster.
Charles Shi: Thanks Morris.
Operator: Our next question comes from the line of Tim Savageaux with Northland Capital Markets. Please go ahead.
Tim Savageaux: Hi. Good afternoon. Just want to follow up on that answer right there quickly, Morris. Was that a 10% market share target going to 30% in '25? Or -- I just want to make sure I heard you right on where the market share target is for the HBT market.
Morris Young: I think I was talking about -- well, I mean, 10% to 30% is too much, then we're going to have to triple. I'm talking about we have 10% market, we can increase that 10% by 30%, that will be 13% or 14%, yes.
Tim Savageaux: Okay. Glad I asked that one.
Morris Young: We wish it was the other way, but that's just how it is.
Tim Savageaux: That's all right. And you had a strong quarter in indium phosphide, I think the strongest in many quarters, and a strong year. So I guess -- and this is sort of independent of the export restrictions. I think you grew 44%, 45% indium phosphide in calendar '24. And given what we're seeing in the AI optical market in particular, we're hearing about shortages of EML lasers, a lot of uptick in activity on the silicon photonics side. From a market standpoint, would you have expected that growth to accelerate ex any restrictions? Or how would you characterize your outlook for '25 in indium phosphide relative to what you did in '24? Again, excluding the restriction.
Morris Young: Yes. I think this is a very good question. Actually, this is a topic that Tim and I, my Tim and I, have constant discussion about. We buy market reports, and obviously as a CEO, I expect the market to grow very strongly. But Tim also has responsibility to deliver revenue, so he's tempered my expectation down, so maybe I should have Tim answer that question. Tim?
Tim Bettles: Yes, sure. This is a very dynamic market at the moment. It is more difficult to try and place a real number on where we go. Right now, as we put our numbers together, we're looking at growth from 2024 to 2025 in the region of 20% kind of range. But of course, as I say, it is a dynamic market. And as silicon photonics and EML gains more adoption, we could very well see some increases there. I'll also make another note as we look at this market. There's a strong development trend in China for EML and silicon photonics as well. Not only are we seeing this in the normal players, but a lot of the laser detector manufacturers in China that have historically focused on the GPON market are now taking a look at the EML silicon photonics market. They also want to enter into that market. So back to it, I've got a 20% year-over-year growth kind of figure in there, but it is dynamic, and we could see additional growth coming up.
Morris Young: Yes, I agree.
Tim Savageaux: All right. Got it. And going back to the export restrictions, at least using gallium arsenide as a model, you had a pretty modest downtick after those were announced in Q3 of '23 I think. And bounced back pretty strongly over the next three quarters. I know the question has kind of been asked, but is that -- assuming you're able to in the same fashion secure the permits, is that something we might expect here? Could you see yourself getting back to the strong Q4 levels you just reported in Q2 or Q3?
Morris Young: I think so, Tim. Let me put some analysis cap on myself, okay? I think if you look at gallium arsenide versus indium phosphide, in gallium arsenide, honestly, we are the third in the world, and we are the smaller of the three. And our market share is relatively small. But indium phosphide, I believe we are either number one or number two. And also, I think gallium -- indium phosphide is not a material which is easily replaceable. We work with our customers sometimes two or three years -- I mean, 18 months to two years to qualify. And we work into very details of what customer wants, how we can deliver. We have the capacity, we have the order actually in hand. Once we get the permit, I believe we can deliver quickly. And I think we can recover from what we have missed and some more as well. But of course, the dynamics is that what's the geopolitical struggle between the 2. I think -- I hate to speculate here, but I think given the chance, I think our recovery for indium phosphide is probably going to be better than our recovery from gallium arsenide would have been.
Tim Savageaux: Great. Thanks very much.
Operator: [Operator Instructions] And your next question comes from the line of Dave Kang with B. Riley. Please go ahead.
Dave Kang: Thank you. Good afternoon. First question is regarding germanium. What's the plan here? Are you continuing to run this business? Or any thought of like maybe monetizing?
Morris Young: Well, yes, germanium, it's a good question. I think there's a lot of the low orbit satellite opportunities in China. Actually, the demand is extremely strong. However, the material, raw material prices went all the way to -- well, this is renminbi, it's almost like $3,500 per kilogram from as low as $1,600 a kilogram, and the raw material was a major part of the cost of goods sold. We view this not as a growth opportunity for us, but we obviously will start to manage or get into the market once the raw material price gets down to a certain level that we can start to make profit at this market, Dave.
Dave Kang: Got it. And just wanted to dig in a little bit more on indium phosphide. Is it possible, I'm not sure you have the answer, but since you talked about photo detectors versus silicon photonics, what's the rough mix between those 2?
Morris Young: It's hard to say the mix. I think the photo detectors, Tim, what was the photodetector revenue we got from the VCSEL? It was around $5 million last year, right?
Tim Bettles: Yes. I want to say that it's not quite 50/50. I want to say that we're seeing a little bit more on the laser side of the business. I'm talking the datacenter on the EML and the silicon photonics side. I want to say that we're looking at somewhere in the region of like a 60/40, maybe even a 65/35 split, in favor of laser versus detector.
Morris Young: Yes. But on the other hand, I think it's going to be difficult to say what's a detector, what's a laser, right? I mean a lot of the substrate we sell to, they don't tell us what detector or -- I mean, some market for the VCSEL pair, they do tell us it's for detectors. But most of the others, they don't tell us.
Dave Kang: For example, your lead customer, I mean are they both photo detector as well as silicon photonics customer, or mainly silicon photonics?
Tim Bettles: That's mainly silicon photonics.
Morris Young: Our lead customer?
Tim Bettles: Yes, that's what we're talking about.
Morris Young: I don't think they even use indium phosphide as a detector in that device, in that transceiver. They're using silicon germanium as a detector.
Dave Kang: I see. Got it. That was it for me. Thank you.
Operator: And I am showing no further questions at this time. I would like to turn it back to Dr. Morris Young for closing remarks.
Morris Young: Thank you for participating in our conference call. As always, feel free to contact me, Gary Fischer or Leslie Green if you would like to set up a call. We look forward to speaking with you in the near future.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.